Operator: Greetings, and welcome to the Guidewire Software, Inc. third quarter fiscal 2025 financial results conference call. As a reminder, this call is being recorded and will be posted on our Investor Relations page later today. I would now like to turn the call over to Alex Hughes, Vice President of Investor Relations. Thank you, Alex. You may begin.
Alex Hughes: Thank you, Grace. Hello, everyone. With me today is Mike Rosenbaum, Chief Executive Officer, and Jeff Cooper, Chief Financial Officer, as well as John Mullen, President and Chief Revenue Officer, who will be available for the Q&A portion of today's call. A complete disclosure of our results can be found in our press release issued today as well as in our related Form 8-Ks furnished to the SEC, both of which are available on the Investor Relations section of our website. Today's call is being recorded and a replay will be available following its conclusion. Statements today include forward-looking ones regarding our financial results, products, customer demand, operations, the impact of local, national, and geopolitical events on our business, and other matters. These statements are subject to risks, uncertainties, and assumptions based on management's current expectations as of today and should not be relied upon as representing our views as of any subsequent date. Please refer to the press release and the risk factors and documents we file with the SEC, including our most recent annual report on Form 10-Ks, and our prior and forthcoming quarterly reports on Form 10-Q filed and to be filed with the SEC for information on risks, uncertainties, and assumptions that may cause actual results to differ materially from those set forth in such statements. We also will refer to certain non-GAAP financial measures to provide additional information to investors. All commentary on margins, profitability, and expenses are on a non-GAAP basis unless stated otherwise. A reconciliation of non-GAAP to GAAP measures is provided in our press release. Reconciliations and additional data are also posted in the supplement on our IR website. Finally, since last quarter, we're conducting this earnings call via Zoom audio rather than telebridge. This means we'll manage the Q&A portion of today's call internally, with the help of Grace, who you just heard from, and me managing Q&A. Please be patient if we encounter a short pause in any of the handoffs during Q&A. And with that, I'll now turn it over to Mike.
Mike Rosenbaum: Thanks, Alex. Afternoon, everyone, and thanks for joining us today. Before we get started, I want to take a moment to acknowledge and congratulate the entire Guidewire Software, Inc. team for the hard work and exceptional execution that went into delivering another amazing quarter. Our results in Q3 and year-to-date clearly demonstrate the accelerating momentum we're seeing as more insurers recognize how critical it is to have a flexible and agile core system. Guidewire Cloud Platform is now well established and proven, and we're in an excellent position to continue driving growth, efficiencies, innovation, and better insurance outcomes for our customers. Let me start by sharing some highlights from the quarter. First, I'll touch on sales. We had a record Q3. The sales activity we delivered was actually the third-best quarter in our history. We closed 17 cloud deals, 14 for at least one of our InsuranceSuite applications, and three for InsuranceNow. We saw particular strength at the high end of the market, closing seven core system deals with Tier 1 insurers and three with Tier 2 insurers, again proving the maturity and robustness of our platform and validating our long-standing strategy to focus on the unique demands of this segment of the market. Our sales success resulted in ARR of $960 million, allowing us to raise our full-year outlook. We are solidly on track to exceed $1 billion in ARR this year, which was a collective ambition we established a number of years ago. We will be thrilled to surpass this milestone but more excited about the overall momentum in the business. Our growth this quarter was broad-based and multi-dimensional, with nine cloud migrations, five net new deals, and three expansions. I'm also excited about the traction we've established with InsuranceNow. This quarter, we closed three net new InsuranceNow wins, including two of the largest ever on this product. Our success with InsuranceNow highlights our ability to effectively serve insurers across all segments and tiers. Additionally, our international momentum continues to build with a significant cloud expansion in Canada and cloud wins in APAC and EMEA. With respect to the deals we closed in the quarter, I'd like to point out a few encouraging themes. We continue to see insurers looking to replace rigid systems with more agile platforms that allow them to deploy new products and lines of business faster. Advanced Product Designer, along with pre-integrated solutions from our marketplace, were key to winning multiple deals this quarter, including several large insurers in the United States, with a great new win in Latin America. Our consistent positive referenceability continues to spur both expansion activity and new cloud wins. This included a Tier 1 personal lines insurer in the United States, who after successfully deploying ClaimCenter on cloud is now expanding to InsuranceSuite. We also had great new expansion wins in Europe. And I was pleased to see a new cloud win in Japan where the success of another local cloud project played a key role. And finally, the work we did previously to establish a large framework deal with Zurich Group is now paying off, where we executed two more deals. One with Zurich Switzerland, who adopted PolicyCenter and BillingCenter, as well as a multibillion-dollar subsidiary who adopted the full insurance suite. We also continue to make progress with our data and analytics offerings. In Q3, we secured our first Guidewire Industry Intelligence sale. This is a new pre-built market-validated predictive model embedded directly into our claim center workflow. This is a model trained and validated based on contributed anonymized data and only possible based on our cloud deployments. This is a first important step towards what we believe will ultimately not just be a great source of new revenue, but more so an added and unique benefit associated with running on our cloud platform. A second highlight from the quarter is the continued momentum across our customer success, cloud ops, and professional services orgs, which is helping to drive excellent platform referenceability. We had another 10 customers go live on Guidewire Cloud Platform in the quarter, including Santa Lucia, Spain's leading family protection insurer, and Cincinnati Insurance Company, the flagship subsidiary of Cincinnati Financial. The last few months have also been busy for us in the marketing and international event front. In March, we kicked off the first of three regional insurance forums in Paris, with more than 200 attendees from customers and prospects across 16 countries. This gathering, our largest ever in Europe, focused on discussing the future of insurance and exploring ways the industry can continue to innovate and improve. Several customers shared their experiences, including Lee Dainty, Commercial Claims Director at RSA Insurance, who described how RSA's move to Guidewire Cloud has streamlined claims processing, improved transparency, and positioned RSA ahead of its peers in the UK. We also heard from Bell Law, a multiline insurer headquartered in Switzerland, who spoke about how Guidewire Cloud has driven better service and increased efficiency in its K2 program, with over 99% straight-through processing. And B Safe, a Polish microinsurance specialist, shared how they utilized Advanced Product Designer to rapidly launch a new product in four days, fulfilling a critical commitment to their distribution partner. The Forum was an opportunity for us to reaffirm our commitment to the European market, our commitment to partnering with European marketplace providers to drive local innovation, and our commitment to maintaining rigorous compliance with evolving European regulations like Solvency II, GDPR, and DORA. In May, we hosted two more regional insurance forums, one in Tokyo and one in Sydney, welcoming more than 150 and 170 attendees respectively, making them also our largest ever events in these regions. At the Tokyo Forum, we announced a major step forward in our commitment to the Japanese market: an investment of approximately $60 million over the next five years that extends and enhances our existing local operations, talent, innovation, and partnerships. We were also excited to hear from our first cloud customer in Japan, who shared how they are using Guidewire Cloud to drive innovation and modernize their operations. At our Forum in Sydney, Neil Morgan, COO of IAG, shared a powerful story about the role of technology in crisis. After a series of severe weather events in Auckland, IAG faced a surge of 48,000 claims, including 4,000 written-off vehicles. One team member used Guidewire ClaimCenter integrated with an intelligent automation tool to build a bot that cut claim processing time from twenty minutes to just ninety seconds, a change that freed up teams to focus on supporting customers when it mattered most. Together, these three events demonstrated how we're delivering on our global strategy through deep local partnerships, innovation, and a track record of execution excellence. But for me, the real highlight of the past few months was a developer summit we held in Bangalore, India. We put on our first developer event last year in Bangalore and were surprised at the positive reception and interest. This year, we were blown away with over 1,500 developers attending from nearly 60 partners and customers. The size of this event is something I think worth noting. We talk about the scale of our partner community and the scale of our certified developers and Guidewire professionals, but to see 1,500 people all come together in one room to learn and enhance their careers and ability to support Guidewire programs more effectively was inspiring. Every attendee was encouraged to bring a laptop, and we had the opportunity to share in a very hands-on, keyboard sort of way the new platform advancements and features with the technical practitioners really driving the innovation and execution in our community. We shared new capabilities around upgrade-safe development for InsuranceSuite extensions, new migration technology to support upgrades to our Advanced Product Designer, new components and capabilities in Jutro front-end web experience platform, new AI cogen capabilities supporting Jutro integration applications, GoSU extensions. We shared new approaches to full-cycle business intelligence with our cloud data platform, Data Studio, and explore dashboard and reporting suite, as well as the ability to use all of this to easily generate, test, and deploy predictive models on our platform. Finally, and maybe most interesting in the long term, we showed developers where we're headed in terms of supporting virtual cloud-based instances of Guidewire they can use to develop against our complete cloud platform, or even host custom applications and workloads all on the Guidewire Cloud Platform. I have been very focused lately on the potential positive impacts generative AI will have on Guidewire and the insurance industry. And I think generally this event encapsulated a lot of the potential for increased program velocity that might provide a boost to Guidewire but more so the innovation agenda in the insurance industry. And in the midst of all of this, we completed our acquisition of Quanti, a cutting-edge provider of pricing and rating technology based in Poland. Since closing the acquisition, we've been hard at work planning the integration of Quanti into our broader technology portfolio and expect to share more specific plans about this area of our product strategy in future calls. In summary, Q3 was a historic quarter for Guidewire Software, Inc. and highlights strong market momentum across every tier and every region of the P&C industry. Insurers all over the world are increasingly recognizing the maturity, flexibility, and proven capabilities of Guidewire Cloud Platform. I could not be more pleased with our strategic position heading into our Q4 as I think we are well placed to continue our cloud transformation and mission to support efforts to modernize and power innovation in our industry. So with that, I'll turn it over to Jeff to discuss the financials in more detail.
Jeff Cooper: Thanks, Mike. We had an incredible Q3 and we look forward to building on this positive momentum. Strong demand for our cloud offering helped ARR finish at $960 million, ahead of expectations. Additionally, as Mike noted, we had a strong sales quarter, both in terms of deal counts and deal sizes. It is clear as our cloud market leadership position is now established, that insurers are more willing to make large commitments. This is a strong vote of confidence and we aspire to exceed customer expectations and drive successful outcomes with this critical work. Total revenue was $294 million, up 22% year over year and above the high end of our outlook. Subscription and support revenue finished Q3 at $182 million, reflecting 32% year-over-year growth and our continued InsuranceSuite cloud momentum. Services revenue finished at $54 million and benefited from strong services bookings that translated into higher utilization rates. Turning to profitability for the third quarter, which we will discuss on a non-GAAP basis, gross profit was $192 million, representing 27% year-over-year growth. Overall gross margin was 65%. Subscription and support gross margin was 71% compared to 66% a year ago. In the quarter, we benefited from approximately $4 million in credits from a cloud service provider, which positively impacted our gross margin. More generally, and I know I've been saying this for a while, I am thrilled with our progress on the gross margin line and the benefits the platform investments that are now being realized to a healthy degree. Services gross margin was 13% compared to 10% a year ago. We are very pleased with our profitability progression in our services org. Most importantly, the services org, in combination with our partners and our customers, continues to deliver successful outcomes in the form of go-lives and cloud updates. This is foundational to our long-term success. We finished Q3 with operating profit of $46 million. This finished ahead of our expectations, primarily due to higher revenue and higher gross profit than expectations. Last quarter, we mentioned that we expected some hiring acceleration in the back half of the year, and we have seen this materialize. This growth includes our new employees from the acquisition of Quanti. We are excited about adding the team at Quanti to accelerate our ambition in the pricing domain. This acquisition added an immaterial amount of ARR in the quarter and 23 employees, with the majority of the new employees located in Poland. As you may know, Poland was already an important development center for us and we now have over 40 employees in Poland. We're excited about the expertise that we are adding and the fit with our existing product development motion. Our respective teams are already working well together. We ended the quarter with over $1.2 billion in cash, cash equivalents, and investments. Operating cash flow ended the quarter at $32 million, which was ahead of our expectations due to strong collections in the quarter. We settled at maturity our 2025 converts, which resulted in a $100 million cash outlay, including accrued interest. And we realized net share accretion of approximately 26,000 shares as the shares issued to bondholders upon maturity were less than the shares we received from the call spread we purchased in 2018 in conjunction with issuing our 2025 converts. Now let me go through our updated outlook for fiscal year 2025. Starting with the top line, given our strong performance year-to-date, we are raising our ARR outlook to $1.012 billion to $1.022 billion, which reflects growth of 17% to 18% year over year. In addition to higher sales momentum, we are also seeing record low ARR attrition percentages and record high ARR ramping activity. As a reminder, our ARR outlook assumes foreign currency exchange rates as of the end of our last fiscal year and we update ARR exchange rates at year-end. If we update ARR today based on current exchange rates, then we would see an approximately $8 million positive adjustment. We will certainly quantify this at year-end and we'll continue to monitor FX rates throughout the remainder of the fiscal year. For total revenue in fiscal 2025, we now expect between $1.178 billion and $1.186 billion. We expect approximately $660 million in subscription revenue and $724 million in subscription and support revenue. Given higher than expected services bookings year-to-date, we now expect service revenue to be approximately $215 million. Turning to margins and profitability, which we'll discuss on a non-GAAP basis, we now expect subscription and support gross margin to be between 69-70% for the year. In Q4, we are expecting 68% subscription and support gross margins as we are seeing the impacts of recent go-live events. We do not expect to realize any material credits from our cloud service provider. In general, we remain a bit ahead of schedule as we work towards our longer-term margin targets and continue to feel confident in our gross margin progression. Our FY 2025 expectations for services margin and total gross margins remain unchanged at 12% and 65% respectively. We are lifting our outlook for operating income primarily as a result of our revenue outlook. We expect GAAP operating income of between $20 million and $28 million and non-GAAP operating income of between $187 million and $190 million for the fiscal year. We expect stock-based compensation to be approximately $162 million, representing 11% year-over-year growth. This is a bit higher than our prior forecast due to the acquisition of Quanti and lower employee attrition than our model assumed. We are increasing our outlook for cash flow from operations for the year to be between $255 million and $275 million due to stronger than expected revenue and collections, combined with strong expense discipline. In summary, it was a fantastic third quarter and we are excited for Q4. Alex, you can now open the call for questions.
Alex Hughes: Okay, everyone. We'll go to questions now. For those of you in the panel who do want to ask a question, just come to the raise your hand in the prompt in Zoom. And with that, our first question is going to come from Alexei Golov, JPMorgan. Go ahead, Alexei.
Alexei Golov: Thank you, Alex, and Jeff, my congratulations with amazing results. Jeff, it has now become almost like a tradition for you to provide your view on fully ramped ARR outlook during 3Q earnings as I think you've done it two years in a row. Would you be able to share your thoughts this year? What do you expect for fully ramped ARR?
Jeff Cooper: Yeah. So, thanks, Alexei. Yeah. Momentum is really strong, and we feel great about our position going into Q4. As you know, Q4 is always as we close out the year and calculate fully ramped ARR results and I think most folks understand kind of how important Q4 is. That said, I feel confident that we can see fully ramped ARR grow at levels consistent with what we've seen more recently. As a reminder, we grew fully ramped ARR 17-19% on a constant currency basis in fiscal 2023 and fiscal 2024 respectively. So, you know, kind of maintaining that upper teens level of fully ramped ARR growth feels like we're headed in that direction. But, you know, I just want to make sure I add that Q4 is always our largest sales quarter. Fully ramped ARR, in particular, depends on larger commitments, multiyear commitments. And those large deals can be very binary in nature. And so we have a range of outcomes that can be quite wide as we model out different scenarios. But kind of getting into that maintaining upper teens fully ramped ARR growth would be a tremendous outcome for us. To do that three years in a row, and that's the direction we're working towards.
Alexei Golov: Thank you very much, Jeff. And, Mike, could I ask you a question about the Japanese market? It seems that you're progressing really well. What is the secret sauce? What is helping you to win cloud deals in that market, and how are those customers viewing US software?
Mike Rosenbaum: Yeah. Thanks for the question. I appreciate it. Because the trip to Japan this quarter and the event that I described, it was a real highlight for us. It was also exciting for us to be able to announce this financial commitment to the region. I think that's probably the keyword. I think we see a tremendous opportunity in the Japanese market, both directly for direct written premium and serving the customers as they operate primarily in that market, but you also have some very concentrated big multi players that we have relationships with all over the world. And we want to make sure that we are serving those customers effectively in every geography in which they operate insurance businesses. I think the keyword is commitment. We're committed to this market for the long haul. You know, I can't say whatever it takes. But that's the attitude, you know, is we're going to show up. We're going to show up with the best possible platform and we're gonna make the investments necessary to ensure that that platform is fit for purpose in what those companies need, you know, for the next ten, twenty, thirty years of their existence in the Japanese market. And I think we're uniquely positioned to do that. I don't think that there's any other P&C platform core system platform that is, that is honestly capable of serving the market the way Guidewire is. It takes a very significant investment for us to, you know, show up year after year after year. And deliver this for them. But we're gonna do it. And I think that that's what was behind that, you know, that press release and the commitment that we made. It's also about delivering successfully. Right? It's about being there with those partners as they do these projects and ensuring, especially now with cloud, that we have the follow-through and that it's successful. The Japanese market doesn't move as fast as other markets. But when they move, they move with determination and I intend to ensure that Guidewire is positioned to be there when they're ready. And like I said, want to be the P&C platform for Japan for the next twenty, thirty years.
Alexei Golov: Thank you for the sense, Ramli. Yeah. Thank you.
Alex Hughes: Thanks, Alexei. So our next question comes from Adam Hotchkiss at Goldman Sachs.
Adam Hotchkiss: Great. Thanks so much for taking the questions, guys. I guess just to start, I know when we hit it the past talked about fiscal 2025 ARR guidance, it felt like you had messaged that the ARR cadence was substantially weighted towards Q4, given your visibility on the backlog and when that was coming live in total ARR. Obviously, with the Q3 outperformance, would be just good to understand whether there was any pull forward from Q4 relative to your expectations, or if it was just a stronger quarter, given more demand at the top of the funnel. Would appreciate any color there. Thank you.
Mike Rosenbaum: Yeah. I'll give you my perspective quickly, and then Jeff can chime in if he wants. You know, it was obviously a great Q3, and, you know, but we have momentum across every tier and every component of the business right now. We feel good about the potential in Q4, and that relates to being able to pass through, you know, a portion of the outperforming Q3 into the increased guidance for Q4. And so I just would say, like, we feel we've got a lot of work to do. We need to execute and, you know, execute these transactions, and it's a very, very big quarter for us. But generally, we feel great about the momentum. So yeah, let me actually, John's here and we pointed that out in the beginning of the call, he's here and I'll give you a perspective on the Q4 outlook.
John Mullen: I'll just add that Mike mentioned that the quarter was broad-based and multi-dimensional. I think it's really about execution. I'll comment that the team as the team as the quarter came to a close, the execution I would have expected a couple of the deals to find their way into Q4, quite frankly. But David Laker and his team sales team around the globe, and the solution advisory team just did a really good job of executing all the way up to the last minute of the quarter. Making sure that what was available within the quarter stayed within the quarter. So I don't I didn't see or feel any pull forward nor any singular outsized event.
Jeff Cooper: Yeah. And just a pile on there a little bit from how we've modeled it, Adam, is as John hit it on the head, it's my view and kinda how I was expecting the quarter play out. There were some of these deals that I expected to slide into Q4. And we're just seeing very high close rates and a very strong execution. So we saw a bit less of that. So kind of not necessarily pull forwards, but kind of those deals didn't kind of naturally pass into Q4.
Alex Hughes: Alright. Thanks, Adam. We're now going to go to Dylan Becker of William Blair.
Dylan Becker: Hey, gentlemen. Appreciate the question, and congrats on a terrific results here. Maybe Mike or John for you, I know Jeff called out kind of the larger contracts. And we've seen kind of the validation of the platform starting to play out here. I wonder to what extent are your conversations starting to have that kind of more consolidation type of story it where you can be kind of that singular end-to-end vendor to help solve a lot of that kind of disparate legacy complexity, that we've become so accustomed to knowing here.
John Mullen: Great. Thanks for the question. The, what I would I would harken back to the conversation on proof points. And with many of these with many of these carriers, with that first cloud proof point and the cloud updates that follow fast behind that, it really opens up this conversation around what's the next line of business, what's the next geography, what's the next segment of business to go after. And in the quarter, we saw what would amount to two, I think, pretty critical strategic takeouts of what would have been more modern competitors. And it plays to that question you're asking, which is earning the right to broaden the reach of the conversation to get warm introductions into other lines of business and other segments and other geographies is proving out. In a few cases, it starts to become very much a conversation about at some point in the future, what does an aligned destination look like where Guidewire is really part of the strategic fabric of that carrier's planning going forward. And more and more we're having those conversations and more and more we're putting the teams in place in the geographies to meet those carriers where they are to have that conversation. So it's a good point. We're seeing some momentum there. It's still a long, long way to go. A lot of opportunity and a lot of hard work ahead.
Adam Hotchkiss: Sure. No. Totally fair. I appreciate the color there, John. Maybe, for you, Mike, as there there's been a lot of talk around kinda the insurance segments as well too, right, with the hardening rate environment and the inflationary pressures that are being put on consumers and risk exposure. How do you think about the opportunity for a system like Guidewire to help kinda narrow what seems to be maybe a widening coverage gap to help solve that problem? And maybe how that plays into another lever of potential kind of premium growth from an industry perspective?
Mike Rosenbaum: Yeah. It's a great question. I think with the word I like to use with respect to this question is agility. You know, the more agility that we can provide insurance companies and the developers, actuaries, IT teams that are thinking about how do they structure their products, how do they take their products to market, how are they pricing their products, and what kinds of rate structures are they applying to these products? Being able to do that faster is going to enable the insurance industry to learn more about how to best close that coverage gap, how to best take this, like, incredible financial instrument to market as effectively as possible. We are seeing pretty significant shifts towards excess and specialty, you know, away from admitted line. And this is also kind of puts pressure on the technology structures within these insurance companies. And so when we can provide a platform that basically takes that IT risk, that technology, execution risk out of the equation, it allows those companies to just execute like insurance companies. And it allows us to play a role, honestly, that makes a lot of people pretty excited here at Guidewire around bringing insurance to every company, every business, homeowner, state, locale in the world that needs it, and that's pretty exciting. So, you know, I think that, you know, behind what we call, like, the referenceability and the success stories of all these cloud implementations, there's a degree of agility that we're delivering that is genuinely new and unique in the industry, and that's going to continue to help close the coverage gap that you described. So that's a big part of it. For the question.
Alex Hughes: Thanks, Dylan. Our next question is going to come from Ken Wong, Oppenheimer and Company.
Ken Wong: Great. A question for John or Mike. I think earlier, it was mentioned record low attrition, record high ramping activity. How much of that do you think is a dynamic of, you know, your core market just really leaning into modernizing versus perhaps internal initiatives and execution that you guys have been laying the groundwork on?
Mike Rosenbaum: Let me give you a quick answer, and then I want to let John comment on it. I would say they're kind of separate. The ramp activity is associated with the success of prior years and just the follow-through of the agreements kind of flowing into the business model. The most important thing at Guidewire is customer success. It's ensuring that no matter what we're doing everything that we can possibly do to ensure that these programs are successful. This is an incredibly durable industry with an incredibly durable use case. And if we can deliver software that works on a platform that works, we're gonna end up with a durable revenue stream supporting that value for a customer. That's the most important thing in our company and it has been part of the company since day one. It will be part of the company forever. You know? And that's what my take on what's driving that financial measure.
John Mullen: Now the we oftentimes talk about the maturing cloud platform. But sometimes we don't talk enough about the maturing cloud operations and the professionals and the teams that work every day to be as responsive as possible around the world to work with customers, solve issues, and unlock new opportunities. And our ability to work with run the core systems of these companies and that team's development and cloud ops customer success and our technical advisory team has really come a long way and working closer and closer with customers to remove any daylight between interpretation of issues and opportunity to solve problems, and that's really helped a ton in maintaining alignment on that on the attrition rate.
Ken Wong: Got it. Fantastic. And then Jeff, just in terms of the investments, you talked up how second half will continue, you know, with the investment levels. How are you thinking about going forward? Are you guys seeing the ROI where it might make sense to extend the investment cycle? Or is this more of a kind of a one-year catch-up after years of putting investments into cloud platform?
Jeff Cooper: Yeah. I mean, I think that this year has played out pretty consistent with how we planned, although the hiring was a little bit more back-end weighted than we originally expected. The addition of the Quanti team is exciting for us as the pricing ambition has been something we've been thinking about for a long time. We certainly see a very healthy backdrop for investment as we look at our market. You know, the way we've thought about this and approach this is that we already have the largest investments in the industry. We have the biggest engineering team. We have the biggest and most professional sales team. And we're appropriately resourced to address the market opportunity in front of us and still deliver new products and capabilities to the market. We still foundationally believe that. We're always assessing our plans, and this quarter is when we do a kind of a deeper dive into how we think about some of the long-range planning. And we'll assess kind of how we think about our investment posture. But as of now, you know, the message is you think through how we've talked about our longer-term goals historically, we feel very confident that we can, you know, operate and kind of meet the moment while kind of maintaining those existing investment profiles that we talked about previously.
Ken Wong: Alright. Appreciate the color there, Jeff.
Alex Hughes: Alright. Thanks, Ken. And just a reminder for those in the panel, if you do want to ask a question, be sure to raise your hand. Our next question comes from Michael Turrin at Wells Fargo.
David Unger: Thanks. Hi. It's David on the run for Michael Turrin tonight. You guys touched on the Gen AI possibilities in prepared remarks and the benefits that could trickle down to Guidewire. Is there anything specific worth highlighting here that has resonated most with customers as of today? Thanks.
Mike Rosenbaum: As opposed to call out particular features, I would say, you know, we're taking a very broad call it a broad-based, broad-spectrum approach to facilitating generative AI use cases across the product suite, across claims center, across policy center. You know, there's numerous opportunities in the claims workflow for applying and building and applying these features to improve process efficiency for insurance companies. There's also, like, a very clear use case around what's called submission intake and the triage of inbound interest for underwriting processes and where generative AI can play a role in call it, summarizing and assessing an inbound request for a quote relative to a carrier's ability to write that risk. But then probably another area that's worth highlighting that's just obviously very clear is developer productivity and using the using LLMs to facilitate the creation of, you know, maybe not just specifically code, but test cases and the other kind of components of what goes into a development project on a platform like Guidewire. Across all of those three things, we're seeing a lot of feedback from our customer base and our developers about what they'd like to see from us and where these things could be put to use in order to drive efficiencies into the programs and also the operations of our customers. So there's a lot of areas, but those are the three things that I'd say are probably most interesting right now.
Alex Hughes: Our next question goes to Aaron Timson.
Aaron Kimson: Thanks, guys. Can you help us think about the pricing methodology? And possible uplift for Guidewire Industry Intelligence, whether that first sale is a beta version or it's something available to all customers. And if that's something you anticipate landing with smaller insurers improving out or something where you can with tier ones and tier twos off the bat?
Mike Rosenbaum: Yeah. So great question. And I think first of all, the applicability of it relates to what's the model predict and whether or not it lines up to the line of business and the specifics of what that customer writes. We took a pretty broad approach to this first one and to try to touch as many of the as much of the customer base as we could. But, you know, we have a long kind of pipeline for different predictive models that we think might work and are working through the process of validating those and building those out. And so over time, there'll be more models that might be more applicable to different use cases, different lines of business across the customer base. You know, for sure, this is something that, you know, there's this sort of, like, ability to target smaller insurance companies with a larger collective data asset than they have on their own. You know, so if you're a huge insurance company, you've got a lot of data, you've got enough data to be able to create one of these predictive models on your own. But if you're a smaller insurance company and you don't have that scope of data, you're kind of stuck. And this is where Guidewire and this Intel model can really play a positive role and give them a sort of head start zero-day capability that otherwise would take years to develop. So that helps in terms of smaller carriers. It also helps for bigger carriers that are jumping into new lines of business or new territories where they don't have that data track record to draw from and create the predictive models they need to be as efficient as possible. And so hopefully that gives you a sense of where we are and how this is gonna roll out and, you know, and the applicability of it. You know, over time now I'd be I'd be I'm very hopeful that this is something that we've got enough models and enough use cases where the majority of cloud customers are finding a way to participate in this product line with us.
John Mullen: I'll just add one thing there, which is the field team and the way we interact with customers there's a lot of optimism about where industry intel can go for us. Because where we've got real foundational proof points on operations and agility and running core systems, getting closer to the pricing and the indemnity management of our customers puts us more in C-suite conversation. And that's really, you know, that's really an area where we can push the envelope a little bit, talk more about insurance results rather than operational outcomes, and that's opened up a whole new channel of conversation for us and access to maybe buyers we haven't traditionally sold to as often.
Aaron Kimson: That's really helpful. And then I want to follow-up on Alexi's question on the Japanese market. Can you talk a little bit about the regulatory changes in the Japanese market? Related to cross-holding that are expected to lead to P&C insurers having more capital on hand? And what the potential benefits to Guidewire are whether through an increased willingness to make transformational technological investments with that additional capital, or for you to win market share through M&A if that's how they choose to utilize the additional capital. Thank you.
John Mullen: Yeah. Thanks for the question. I think, as Mike mentioned, Japan, we're gonna be in that market relevant investing with the talent and the capabilities and the solutions to be relevant in that market for the long haul. Really pleased with how that team has developed. I am not in a position to really get too deep into the regulatory environment there. I'd have to pull in the Japanese team to answer that question specifically. But I do believe that our ability to answer with our investments in policy core processing, our ability to answer both the core processing problem there and the capital allocation opportunity there is very real. The acquisitions that come from Japan will continue to be a big part of the global insurance market. And the dynamics of the Japanese market will, to your point, influence and increase the rate of investment outside of Japan, we think we're in a really good position given multicurrency, multi-location, and multi-line of business capabilities to be that partner for them going forward. Thanks, Aaron.
Alex Hughes: Our next question is going to come from Alex Sklar at RBC.
Alex Sklar: Thank you. Jeff, question for you. Just looking at that mix of ARR growth, you called out the strong ramp activity. Can you talk about how this year's bookings have looked from a ramp shape standpoint relative to the last couple of years? How much of that third quarter ARR growth actually came from ramps versus that record activity? And then I had a follow-up. Thanks.
Jeff Cooper: Yeah. So, in terms of the overall ramp activity, it's always very hard to comment on the year until we get to Q4. Q4 will drive kind of how we think about that cohort. In general, if you look at the activity in Q3, the one thing of note is that we are seeing some longer durated activity. So we did see a couple deals that were longer than five years, and in some cases, we have ramps that extend even beyond year five. Our definition of fully ramped ARR caps at year five, so we don't consider things that occur after year five until that moves into the next five-year window. But in general, ramps are kind of similar to what we'd expect. Bigger commitments, longer durated deals, but the overall slope of the ramps, there's nothing to highlight in Q4 will have a large impact on it. With respect to ARR growth and where it's coming from, it was pretty balanced. We are seeing very healthy ARR coming off of the backlog in Q4. We talked a bit about that last quarter. So that dynamic is still very real for us. And then in Q3, saw some very healthy contribution from new deal activity in the quarter. That, you know, as Mike noted, it was a record Q3 for us.
Alex Hughes: Okay, great. Thank you. Our next question comes from Matthew Pickert at Stifel.
Matthew Pickert: Thank you very much for taking my questions, and congratulations on the quarter. Wondering if you could talk a little bit about the Quanti acquisition. What's the incremental functionality that you see them bringing to the table? And is it something that should appeal to all of your customers or just a subset of some?
Mike Rosenbaum: Yeah. Thanks for the thanks very much for the question. As I said on the prepared remarks, I think you should expect us to provide more detail over time about where this will fit into the company's product strategy, but I'll give you a quick answer. You know, they provide a pricing and rating technology that we think is going to be ultimately applicable to every customer. Exactly how that rolls out across all the lines of business at Guidewire and how it fits into the existing product suite, like I said, that's work we're still doing right now. But this is a great team of people who are really excited about supporting a use case that's a little bit beyond what we traditionally have focused on with Guidewire. Think of what we've done traditionally as taking the output, the pricing strategy from an actuary and running it efficiently in production to provide real-time rates when you need to rate a new quote. This pushes us into the design of the pricing strategy and then seamlessly connects the output of what those actuarial teams want to run in production to the actual production rating system. That provides a huge amount of flexibility and agility to those teams and to those insurance companies that want to make more real-time changes. Now the applicability of that specifically depends kind of on what region you're operating in and the different lines of business that you're supporting. But the general technology in terms of providing a workbench for actuaries to build prices with, bring in lots of different data sources and run scenarios and come up with rate routines and rate strategies that make sense for the risk that they want to underwrite. That's what we're really excited about. And that's a key component to us delivering on this concept that we're going to bring more agility to an insurance company, enable them to change their rates, change their rules, change their prices, change their product definitions, as fast as the businesses want them to be changed and kind of take away the concept that there's a bottleneck on the technology side. We think we can deliver a platform, a seamless platform using Quanti and the rest of the Guidewire Cloud Platform to deliver that agility to the market. So hopefully that gives you a little bit of a sense. And like I said, there's going to be more to come from us over the next few months and quarters on this subject.
Matthew Pickert: Okay. Terrific. And then secondly, you continue to show nice subscription gross margin expansion over 70%, you know, once again, but still a long ways from the 80% long-term target. What incremental steps do you think could be made to add another 1,000 basis points to that margin over time?
Jeff Cooper: Yeah. Sure. You know, we're continuing to invest in our engineering team is continuing to build more and more. And then it's just some of this is just a function of us adding scale, customers getting to fully ramped outcomes from an ARR perspective. And the model just maturing. So as we look through, don't think there's any heroic steps that need to take place in order for us to get there. It's just the continued blocking and tackling and kind of adding more and more scale to the platform that we've already built.
Alex Hughes: Great. Thanks, Matthew. So our last question is going to come from Tyler Radke at Citi.
Tyler Radke: Yeah. Thanks for taking the question. You hit on your developer day that you hosted. Sounds like it was a good success earlier this year. And I'm just curious how you're seeing your customers leverage AI, generative AI, specifically around some of the completion for modernizing these legacy systems. Obviously, you know, a lot of the big tier ones have, you know, COBOL and mainframe systems with a ton of legacy codes. But, like, what type of improvements in that modernization process have you seen thus far? And, you know, what I guess, what are you doing from a product perspective, to sort of enable some of those features in your own solution?
Mike Rosenbaum: Yeah. Thanks very much for the question. So yeah, there's a lot of, I'd say, interesting, I don't know, theoretical assessments of whether or not generative AI can tackle these mainframe conversions. And I think you should we think of these things. I think of these things. Maybe you should think of these things as potentials. And certainly, there's positive signal that this might occur. I would say practically, you know, what's really happening right now is things that are more surface level. So think like building the scaffold for an integration between Guidewire and another public or private API, something that's more discreet. And this is something like just works, building the front-end code, associated with portals or our Jutro development framework where you're taking Guidewire and exposing it to a public website. This is creating test cases, associated with code that you're writing on our platform. And these kinds of use cases are driving a tremendous it drives a tremendous amount of cost in the ecosystem and in the implementation programs. And it's really directly pointing towards positive outcomes in terms of actually deploying these techniques against these types of use cases. So certainly, the COBOL mainframe conversion, you know, those kinds of things are, you know, like I said, you know, there's signal pointing towards that potential. But we're also seeing a lot of other use cases that do represent very significant components of Guidewire implementation that we're seeing a lot of positive results from. And I would say like that's as much of where the excitement is right now as anything else. The other thing that you just have to generally be careful of with respect to these modernization programs is very often what we are doing with Guidewire is we are helping a company reinvent their business process to be more modern and enable them to break the mold of what they're tied to with their COBOL-based mainframe. And so you don't necessarily want a magic button that instantiates the broken business process into a modern system. You do actually want to take the time to think about what's the new way that we're going to architect our products? What's the new way that we're going to architect our claims processes? What's the new way we're going to engage with our customers with new digital channels? And to do that, you need a modern platform, but you need to take the time to rethink your business process and modernize your company holistically. And so, yeah, that magic press a button and everything converts is maybe tantalizing but it isn't necessarily going to deliver the agile modern insurance company that everybody really wants.
Alex Hughes: Great. Thanks, Tyler. I'm actually seeing one more question from Rishi Jaluria. RBC.
Rishi Jaluria: Hey, Rishi. Wonderful. Thanks so much for squeezing me in. Really great to see continued momentum in the business, in a tough macro environment. Maybe I want to start, Mike, you've made some comments on some of the success you're seeing in InsuranceNow. I recall when you kind of started as CEO, that was one of your priorities of kind of rebuilding the product and modernizing it. Maybe can you talk about what's driving some of the success that you're seeing in InsuranceNow, whether that's product specifically, go-to-market execution, just the industry itself, being ready for that. And maybe just alongside that, as we think about kind of the potential handoff, how do you balance the strategy of wanting to work with these customers, but at a certain point, should they grow up, to be big enough to maybe be classified as tier one, tier two, or even, you know, tier three kind of at the borderlines, what that handoff to, you know, IS cloud looks like. Thanks so much.
Mike Rosenbaum: Yeah. Thanks for the question. First, just touching on the last part of your question. We actually have a number of customers that are running both InsuranceNow and InsuranceSuite for different lines of business, different use cases where it's more suited, let's say, for a smaller line of business that wants less customization, less configuration capabilities, just the InsuranceNow platform fits. So we see all kinds of use cases in the customer base. I think that, you know, we just we've the team, our team, and it has executed extremely well. And then with respect to the InsuranceNow product. We've done a great job getting the product where it needs to be. We've done a great job collaborating with our teams on the platform side to be able to run InsuranceNow on the Guidewire Cloud Platform and drive efficiencies there. That gives us some confidence that we can take that product to market aggressively in that in the, you know, lower tiers of the US insurance market. Strategically, it gives us a lot gives me a lot of confidence that we're basically not we don't have any blind spots. We're paying attention to every single segment of the market and every single potential competitor and making sure we're competitive and winning business and not leaving ourselves exposed to some sort of smaller insurance-focused startup product that's ultimately could be a threat to Guidewire. I feel great about all that. We've executed really well. The product works. The customers are happy. That referenceability also matters a lot in this segment. It's like ultimately you just want my perspective of a buyer of Guidewire is somebody they just want confidence that this is gonna work. That's why I talk so much about referenceability and customer success. They're taking such a risk with these decisions in these programs. That, like, you can't it's not easily reversed. And so our ability to say, hey, we've got these customers, they're successfully running InsuranceNow, this product works, that's really helping us win. And then so anyway, just great execution generally, and we'll we feel great about that.
John Mullen: That I'll just add that that end of the market is super dynamic, it's not just in the US where the smaller carriers are both dynamic and also becoming much more technology native. But also in Australia, the distribution space and the MGA space and the small end of the market in Australia, is super dynamic and that I really love the pressure that that part of the market puts on Guidewire to think about not just processing, but where the world of distribution is going and where the world of dynamic product manufacturing is going. It's just a really good exchange of information and thought patterns with that end of the market.
Rishi Jaluria: Alright. Really helpful. Thank you so much, guys.
Mike Rosenbaum: Thanks, Rishi.
Alex Hughes: Thanks, Rishi. Well, with that, that actually is our last question. Do you have any closing remarks?
Mike Rosenbaum: Great. No. It was an incredible quarter, and we're looking forward to having a great quarter in Q4 wrapping up the year. We see a tremendous amount of momentum and potential. We need to execute, but we're incredibly excited about the position, the strategic position of the company. So thanks, everybody, for joining us and we'll see you on the Q4 call.